Operator: Good morning, ladies and gentlemen. Welcome to the Hyster-Yale Materials Handling Third Quarter 2024 Earnings Conference Call. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Tuesday, November 5, 2024. I would now like to turn the conference over to Ms. Christina Kmetko with Investor Relations. Please go ahead.
Christina Kmetko: Good morning, and thank you for joining us for Hyster-Yale's 2024 third quarter earnings call. I'm Christina Kmetko and I'm responsible for Investor Relations. This morning we published our third quarter 2024 results and filed our 10-Q. These documents are available on the Hyster-Yale website. We're recording this webcast and a replay will be on our website later this afternoon. The replay will remain available for approximately 12 months. I'd like to remind you that our remarks today, including answers to any questions will include comments related to expected future results of the company and are therefore forward-looking statements. Our actual results may differ materially from our forward-looking statements due to the wide range of risks and uncertainties that are described in our earnings release, 10-Q and other SEC filings. We may not update these forward-looking statements until our next quarterly earnings conference call. Our presenters today are Al Rankin, Executive Chairman, Rajiv Prasad, President and Chief Executive Officer, and Scott Minder, our Senior Vice President, Chief Financial Officer, and Treasurer. With the formalities out of the way, let me turn the call over to Rajiv to begin.
Rajiv Prasad: Thanks, Christi. Good morning, all and thank you for joining us today. I'll start by providing my operational perspective and some commentary on our markets. Scott will follow with the detailed financial results and outlook. Al will close the call with his perspective. And then we'll open it up for your questions. Before I discuss the quarter, I'd like to comment on the impact of Hurricanes Helene and Milton last month. These hurricanes were nothing short of devastating. Thankfully all of our employees in the Southeastern United States are safe. Furthermore, daily operations were not directly affected. We've worked with our dealers, suppliers and communities in the affected areas to provide support where needed. Now I'll move on to our Q3 results. I'm pleased to say that we executed well in what is normally a seasonally lower third quarter, primarily related to European plant shutdowns. Our current quarter results are also being compared against an exceptionally strong prior year. Once again we generated strong product margins and delivered year-over-year revenue growth. This was led by the Americas Lift Truck and Bolzoni businesses. However, third quarter financial results were below our expectations. Let me explain why. In short, we did not achieve our expected production volumes. Our manufacturing operations were hampered by supply chain constraints and a handful of product introduction issues. This resulted in missed sales, creating manufacturing inefficiencies and increasing costs. While our results were lower than planned, the company's foundation remains solid. Pricing and unit margins continue well above target levels. Operating expenses remained in check and below our expectations. We'll continue to balance expenditures with growth needs moving forward. Now I'll share our market views and its impact on our business. Based on global market industry data and internal estimates, the company believes that the quarter three 2024 global lift truck market declined moderately from prior year levels. The rate of decrease accelerated compared to Q2 2024 as most regions saw a deterioration. Quarter four global market is estimated to decline further with the Americas and EMEA decreasing at a faster pace and JAPIC generally stabilizing. These below-trend market booking levels are expected to balance out the significantly above-trend market booking rates experienced between 2021 and 2023 returning the market to more normalized long-term growth rates. In 2025, we expect the global lift truck market to decrease modestly year-over-year with a first half decline mostly offsetting a second half. Regionally, a moderate decrease in the EMEA market is likely to be partly offset by a stable Americas market level. Within the Americas our largest region North America is expected to increase moderately in 2025 compared to 2024 with improvements occurring in the second half of the year. This improvement is expected to be mostly offset by a decrease in the Latin America market. We are working diligently to offset the effects from these market decreases on our business through share gains and sales of new advanced technology products. However the company's business has been negatively impacted in 2024. Year-over-year dollar-value factory booking decreased 36% to $370 million in quarter three. Sequentially booking dropped by 3% broadly suggesting stabilization at a lower rate. While our global bookings were down compared to quarter two dollar-value bookings improved 8% in the Americas largely due to increased volume of higher-priced Class 1 trucks and the company's new modular scalable Class five trucks. EMEA and JAPIC offset this improvement with a combined 19% drop. Our long-term strategic initiatives are gaining momentum. In warehouse applications, we continue to make inroads with our advanced technologies and strong product lineup. We expect quarter three 2024 Americas and EMEA bookings to reflect warehouse market share gain when final industry data are released. Additional gains are expected in quarter four and 2025. Our modular and scalable products are also expected to increase market share in all regions as we broaden this product portfolio lineup to include Class 1 electric trucks in 2025. The work continues to aggressively and profitably extend our roughly seven-month backlog while we continue to focus on increasing our bookings and our share. We're also focused on aligning our production schedule to match market demand. At this point new bookings will fill open 2025 production slots which are in the second half of the year. The combination of rising market share and new bookings along with the company's $2.3 billion backlog should help support the business until market levels improve in the second half of 2025. This sets the stage for higher production levels in 2026. Overall, we believe the current backlog should support 2025 shipment levels that are generally in line with 2024. That said global production levels may moderate in 2025 without market share improvements or share gains. For much of the last two years we've benefited from strong pricing tailwinds and a significant order backlog. This led to product margins well above our targeted levels. Looking ahead we are focused on maintaining competitively priced products at or above targeted margin levels. We expect to achieve our targets with continued new model introductions and ongoing cost and pricing discipline. I'll add one final comment on the market. The Lift Truck industry is very resilient and has gone through similar cycles in the past. We plan to push through this latest downturn while still delivering on our customers' promises to provide optimized product solutions and exceptional customer care. We'll continue to execute our strategic initiatives and key projects to fulfill these promises. I encourage you to learn more about these initiatives and projects in our updated investor deck currently available on the Hyster-Yale website. I'll turn the call over to Scott to provide more detailed financial results outlook. Scott?
Scott Minder: Thanks. As Rajiv mentioned, our Q3 2024 results were solid. Consolidated revenue of $1 billion grew year-over-year, while operating profit of $33 million declined compared to an exceptionally strong prior year. Net income was $17 million decreasing from $36 million in Q3 2023. I'll cover the results by segment to provide color on the performance drivers. Lift Truck revenues grew 2% versus prior year due to higher average sales prices and a favorable sales mix shift. Americas sales volumes increased, but were more than offset by a decline in EMEA volumes. Due to our ongoing pricing discipline average sales prices rose 25% year-over-year. Sales mix improved mainly due to increased sales of Class 1 and Class 4 trucks as well as higher-priced higher-capacity Class 5 trucks in the Americas. Unit volumes declined year-over-year in EMEA, primarily due to lower production rates. This was a consequence of supply chain challenges and shipping delays on new products. Quarter-over-quarter, revenues decreased in the Americas and EMEA as seasonal plant shutdowns led to lower Q3 production rates. Lift Trucks Q3 operating profit was $39 million, declining 40% against the strong prior year period. Lift Truck product margins remained well above targeted levels due to continued favorable sales prices and product mix. However, these benefits were more than offset by lower margins on parts and fleet services. Specifically, our parts sales have shifted from extensive repairs on aged units to more preventative maintenance on newer units. The latter generates lower margins. Lift Truck gross profit declined by 7% year-over-year due to overall sales margins as well as higher freight costs and other cost inflation-related variances. These factors, combined with increased operating expenses, led to the operating profit decline. With regards to operating expenses year-over-year, these expenses increased due to investments required to accelerate our key strategic initiatives. We've added sales and marketing staff to help launch new products and technologies that support our share gain efforts. We're investing in new information systems that create a more efficient and seamless customer-facing experience that will launch in 2025. In addition to these investments, employee-related expenses rose due to wage increases and higher incentive compensation related to our strong 2024 year-to-date results. Looking at profitability by geographic segment. Americas gross profit declined modestly with improved pricing and higher sales volumes offset by increased freight costs and other cost inflation-related variances. Freight costs remain elevated due to ongoing geopolitical tensions. The U.S. dockworkers strike in Q3 added to this challenge. As a result of our U.S. manufacturing locations, we relied heavily on East Coast ports. We took proactive steps to mitigate potential problems including expedited shipping and container unloading to minimize the impact on our operations. These actions came at a higher price. In Q3, EMEA experienced an operating loss compared to prior period profits due to lower unit volumes and unfavorable pricing. Operating expenses were higher, largely to support future business growth. The increased year-over-year operating loss in our JAPIC segment was mainly attributable to reduced unit volumes partly offset by lower operating expenses. Beyond the Lift Truck business, Bolzoni's Q3 results were very strong. Revenues increased 5% while operating profit improved by more than 100% over prior year due to increased sales volumes of higher-margin products. These additional volumes allowed Bolzoni's manufacturing plants to run more efficiently thus lowering costs year-over-year. Bolzoni's profits increased sequentially despite an expected seasonal revenue decline. There's one additional item to mention for Bolzoni. In July the business acquired a majority equity interest in one of its machining suppliers. This includes an option to purchase the remaining portion in future periods. This $2 million acquisition is an important investment. It helps to ensure the supply of competitively priced high-quality components. Its results were included in Bolzoni's Q3 financials. Moving to Nuvera, where the business remains focused on increasing its sales pipeline. The hydrogen fuel cell industry continues to face slow customer adoption. This is due to ongoing hydrogen supply constraints and delayed vehicle fuel cell development programs. Despite Nuvera's robust demonstration pipeline, these industry constraints are delaying Nuvera's bookings and reducing its shipments. As a result, Nuvera's Q3 revenues decreased to $0.3 million from $1.5 million in Q3 2023. Nuvera's revenue increased compared to Q2 levels. Nuvera's operating loss exceeded prior year, largely due to increased utility expenses and facility lease costs. In addition, Nuvera incurred a $0.2 million severance charge for headcount reductions needed to rightsize the organization given the slower hydrogen product adoption rates. Next, I'll cover the company's tax position. Our Q3 income tax rate was 37%. This is higher than 2024's forecasted annual rate of 32%. Our third quarter tax expense and tax rate include a year-to-date true-up adjustment necessary to reflect the increased estimated annual effective income tax rate. 2024's year-to-date effective income tax rate of 32% is above the prior year's 27% rate. The elevated 2024 rate largely relates to the ongoing capitalization of research and development costs for US tax purposes, combined with the ramifications from the company's US valuation allowance position. This combination also affected 2023's tax rate, but the impact was partly offset by our ability to utilize US net operating losses during the 2023 calendar year. Looking beyond the income statement, we generated $70 million of cash from operations during Q3, and the company's financial leverage continued to improve. Our debt-to-capital ratio of 46% improved by 500 basis points from the June 30 level. Combination of lower debt and increased cash drove a significant improvement. As the business generates more free cash, we'll continue to follow the capital allocation framework laid out at our November 2023 Investor Day. In the third quarter, we used free cash to further reduce financial leverage, fuel growth-related capital expenditures and fund Bolzoni's small acquisition. At quarter end, the company had unused borrowing capacity of $262 million compared with $217 million as of June 30. We continue to focus on reducing working capital, particularly through inventory efficiency. However, total inventory increased over Q2 2024 levels, in part due to trucks being completed but not shipped by quarter end as well as shipping delays on new products. Working capital represented 21% of sales in Q3 as a result of these elevated inventory levels and reduced annualized sales in the seasonally lower third quarter. I'll shift to our Q4 outlook and make some brief comments on 2025. Looking ahead, we expect Q4 consolidated revenues and net income to be roughly comparable to robust prior year levels. Consolidated full year 2024 financial results are still expected to improve significantly year-over-year, primarily driven by the robust first half results. We believe the company's strong 2023 and 2024 financial performance benefited significantly from actions we've taken over the past few years to position the company for profitable growth and to deliver on our promises to provide optimal solutions for our customers and deliver exceptional customer care. Overall, these longer-term product development and process improvement projects initiated in prior years are leading to a more efficient and flexible organization. We're now better positioned to further optimize our operations and costs. As a result, in October 2024, we concluded that new programs should be undertaken in the Americas to lower costs, optimize our manufacturing footprint, reduce lead times and better position the company for improved margins and further growth. We expect to incur future restructuring charges as we fully execute these manufacturing improvement programs over the next 12 to 36 months. The details of these programs are still being finalized. An estimate of charges and expected benefits has not yet been fully determined. We'll provide more details with our Q4 earnings results. For the Lift Truck business, we anticipate Q4 revenues and operating profit to be roughly comparable year-over-year. Strong product margins from the shipment of higher-priced, higher-margin backlog units are anticipated to be offset by higher freight and material costs and increased operating expenses. The company's solid backlog and ongoing pricing discipline are providing a foundation that limits the negative impact of the current lower demand environment on our results. Looking forward to 2025, our backlog is expected to decrease toward more normalized levels in the first half of the year. This will likely lead to a moderate decrease in Lift Truck's full year revenue versus 2024. The revenue decline combined with anticipated cost inflation and modestly higher operating expenses are expected to significantly lower 2025's operating profit compared to an exceptionally strong 2024. For Bolzoni, we anticipate lower Q4 revenues compared to prior year as the phase-out of legacy components for the Lift Truck business exceeds attachment sales growth. Increased costs for material, freight and employee-related items will likely moderate Bolzoni's improved product margins. As a result, operating profit is likely to decrease compared to prior year. In 2025, operating profit is expected to improve year-over-year, despite lower sales volumes, due to the continued phase-out of low-margin component sales. At Nuvera, the business remains focused on increasing customer product demonstrations and orders. This includes its new portable hydrogen fuel cell-powered generator, which began dealer and customer demonstrations in September. Q4 revenues are expected to increase year-over-year and should be comparable to Q3 2024 levels. Increased product development costs will likely drive a modest operating loss increase compared to the prior year. Nuvera expects improved year-over-year revenues in 2025, due to higher fuel cell sales. The benefits of these higher sales are expected to be partly tempered by a modest year-over-year increase in new product development costs. Nuvera's overall operating results should improve in 2025 compared with prior year in part due to benefits realized from the reduction in force action taken in Q3 2024. We continue to make progress toward our 7% operating profit margin target across the business cycle for the Lift Truck and Bolzoni businesses. We exceeded this target in Q1 and Q2 of 2024 both periods of robust demand. During this current soft demand environment, our extended backlog of higher-margin trucks continues to provide a shock absorber for our financial results. We expect production levels to continue to outpace bookings for the next several quarters, bringing our backlog to more normalized levels by mid-2025. Bookings are expected to accelerate in the second half of 2025, driving improved production levels in 2026. In the meantime, strategic actions to reduce costs, improve productivity and deliver high quality, highly customizable products made consistently around the globe should enable us to be more profitable in all phases of the business cycle. These actions are ongoing and will gain momentum in the coming quarters. As a result of the factors I've mentioned, we expect lower 2025 revenues and a significant operating profit and net income decrease at the consolidated level compared to robust 2024 levels. We've made progress on reducing the impact of cyclicality on our business and have plans in place to further stabilize our results in cyclically lower periods. We'll continue to focus on improving our cash conversion rate, primarily by reducing inventory levels. Beyond working capital, we expect 2024 capital expenditures to be $49 million, down from our initial projection of $87 million. While we still anticipate meaningful growth in efficiency investments, liquidity is our top priority. 2024's cash flow from operations should increase significantly compared to the prior year. In 2025, cash flow from operations is expected to remain strong but decline from 2024's level. As we continue to generate cash, we'll follow our disciplined capital allocation framework to reduce leverage, make strategic investments that support profitable growth and generate strong returns for our shareholders. Now I'll turn the call over to our Executive Chairman for his closing comments. Al?
Al Rankin: Thanks, Scott. As Rajiv and Scott have outlined, we had a strong quarter. Our foundation remains strong despite challenges, due to the global market decline. We believe the programs we have in place will help us navigate more effectively through the natural fluctuations, of this current market cycle than has been the case in the past, and that the continued maturation of our strategic initiatives will return us to target levels as the market improves. We are delivering on customer promises to provide optimal solutions and exceptional care, by providing high value-adding systems such as, our modular scalable technology and our operator assist and full automation technologies. We're already beginning to see the benefits of our ongoing transition to these technologies. We have also taken important steps to improve Lift Truck production efficiencies. And in our newly announced restructuring program, we will now be implementing projects to further optimize the company's operations and cost structure. All of this supplemented by Rajiv's and Scott's remarks, leads me to believe our company is well positioned for substantial longer-term profitable growth. Now, we would like to open the call to questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment for your first question. Your first question comes from Chip Moore with ROTH. Please go ahead.
Q – Chip Moore: Hi, everybody. Thanks for taking the question. Good morning. I want to start with the weakness in EMEA, this quarter. I think you referenced some supply chain challenges and perhaps some new product rollout issues. Maybe just expand on that what you saw there? How big was that impact?
Rajiv Prasad: Yes, sure. I think it affected our shipments in EMEA. We had some product introduction issues where some rework of the product was required, which did not make the end of quarter shipment as well as just reduced production rate due to component availability. I'll also say that the market in Europe, is slow, it's weaker. And so our booking rates, aren't at the expected level. But we think that's stabilizing. So we should start to see that can improve a little, as we get into the first quarter of 2025.
Q – Chip Moore: And in terms of some of those supply chain and reworks, is that any continued impact there? Or do you think that was more –
Rajiv Prasad: No, I think it was one-off. We're launching some of the new -- some additional features and scalability on our modular and scalable programs. These were the more sophisticated systems and the issues are more related to software and just some interface issues. So the teams worked through that. And I think, we're starting to ship those trucks.
Q – Chip Moore: That’s helpful. And if I could ask on cost and productivity initiatives, you called out, I appreciate you probably can't give too much detail, but I imagine this is something you've been contemplating for a while. Just maybe high-level thoughts on what you're thinking about and when we might start to see some of those benefits start to roll through? Would this be back half of next year, we start to see benefit? Or how do we think about that?
Rajiv Prasad: Yes. So this is -- you're right, that this has been our plan. So as we had talked in our various investor meetings, that we're developing the new modular scalable products so that we can build both internal combustion engine trucks and electric trucks on the same line. And so now that that's feasible and we're -- the development of the electric truck is maturing, we feel that that's a path -- is kind of a good path for us. But it does take -- today in North America, for instance, those trucks are built in different plants. So, we have to do some rationalization. And so we're working through the details of that. Strategically that's what we wanted to do. But now the teams are going through the more detailed analysis to see how do we make that happen. And there are some other secondary decisions that we have to make along with that strategic element. And we'll work through that probably in the first two quarters of next year. And transitions -- some of the transitions have already happened. And the bigger ones will take place most likely in late 2025 and 2026. And the benefits will start coming towards the end of 2026.
Chip Moore : Got it. That's helpful. And I'm sure we'll learn a lot more next quarter. And I guess maybe if I could sneak in a last one just around, I guess, margin trajectory a lot of moving pieces more so on next year. And then I think you referenced looking for bookings to pick up again in the back half just your confidence there? Thanks.
Rajiv Prasad: Yes. I think I'll take it up and maybe Scott you could pick up a little bit as well. But we have done exceptionally -- the organization has done exceptionally well at maintaining -- getting up to and maintaining well above our target margins over the last three years. As the markets normalize and actually now dip below and we think this is a temporary measure, it's not really related to the economy. It's related to the dynamics of our industry where there was a huge amount of overbooking in 2022 and 2023 and now there's a bit of a dip. And so there is more intense competition for those -- that business. And so we're having to kind of be more competitive with our pricing. But while I say that the other tool that the other strategic element that's starting to be in place for us is our modular and scalable platform, which should help us with putting the right truck at the right application for our customers, and therefore, also have the right margin profile. So, I expect that things may be a little competitive for the next two or three quarters, but then I expect us to start using the modular scalable platforms to get our margins above -- back to above target economics maybe not as high as we've been getting it in the bookings in 2022 and 2023, but kind of somewhere between our target economics and what we've seen there.
Scott Minder : Yes. Rajiv, I'll add just one thing to that. Our backlog today is more robust in the first half of the year and the more competitively priced bookings that Rajiv referred to are probably more in the second half of the year. So when you think of unit margins in the context that, Rajiv, gave we expect to stay above target margins, but you probably have a higher first half and a lower second half because of the market dynamics. I think importantly though, as we think about our goal of remaining achieving 7% operating profit across the business cycle, as we go through this market downturn the business is going to perform better than it has in prior cycles.
Chip Moore : Great. Appreciate all the color, Rajiv and Scott. I'll hop back in queue. Thanks everybody.
Operator: Your next question comes from Ted Jackson with Northland Securities. Please go ahead.
Ted Jackson : Thank you. I've got a few questions for you. First of all, with the delay in some of the shipments and the elevated inventory that you had in the third quarter, will we see a substantial decline in inventory in the fourth quarter? I mean are we going to see a pretty substantial kick up in free cash flow because of that? And if so, what kind of decline would we expect? And then given kind of the outlook you have for '25 how would we think about working capital in particular inventory as we think through 2025? That's my first multipart question.
Rajiv Prasad: Yes. So, I'll take the first part of that and then Scott you could quantify it. So what's going on Ted is that, we've got -- we've had various regions as we go through some of the transitions in our operation. I'll give you an example that our European plant which essentially builds the same truck as our North American plant was building some trucks for North America as we were going -- as we are planning some of the changes. And what happens when -- and then of course China is building some of our value -- more value trucks. And what we -- what this ends up -- what ends up happening is, there's a lot of -- there's a large quantity of trucks that are either in transport, in logistic chain or they're waiting to be shipped out of our plants. And that increases our finished good inventory basically our marketing inventory. So that's a big factor that's driving our working capital up. The second one is that we are getting a slower installation of trucks from our customers. And what's happening there is, we're building now orders that we received in late 2022, early 2023, mostly early 2023. Customers have seen large changes. So as we start to -- as they get notified that their trucks will be built, they are revising where these trucks are going to be applied and that takes some time to reorganize. So those two factors are what's causing our marketing inventory to go up and that's what's driving it. In fact, our manufacturing inventory has improved compared to last quarter. And we think that it will definitely be improved by the end of the year, but I think some of it will take the first quarter of 2025 to work through, because of the longer supply chain of the trucks, the finished goods.
Scott Minder: Yes. Just to add on to that a little bit. The company does expect a significant cash flow increase as a result of lower working capital in Q4. And as Rajiv laid out, we expect those benefits to continue in 2025. There's the short-term nature of marketing inventory. There's also the long-term nature of the programs we have in place to be more efficient and get back to working capital as a percentage of sales around 15%. So, big opportunity in Q4, as well as 2025, as revenues are expected to decline to decrease inventory and generate additional cash flow.
Ted Jackson: Okay. Shifting over to Nuvera. I know during the last call, you had expected to see kind of a pop in revenue in the fourth quarter and clearly that's not going to happen. So, on Nuvera, the first thing is, when we think about 2025 and the growth that you think you're going to see there, how do we think about that growth? I mean, there's been a lot of effort by the Biden administration to kind of shove through funding for things that would be very beneficial for Nuvera before the administration ends. I mean, is that a key driver for you? And if that's the case, I would assume there is some kind of tangible visibility around it that you could discuss. And then also, with regards to Nuvera, I can't do two things at once and I didn't quite catch what you said in terms of the severance. Did you say that you have -- you went through a downsizing there and there's $2.2 million in severance? And if that's the case, can you talk a bit about -- well first is that amount correct? And then, how we would think about that with regards to the cost structure for Nuvera as we put our 2025 models together?
Rajiv Prasad: Yeah, Ted. So maybe I'll start with the second one because that -- it was actually $0.2 million.
Ted Jackson: Yeah, I got a little better.
Rajiv Prasad: That's okay. Also I've got a cold, so I'm not sure how clear I am on these things. So the other -- so let me go back to the first one and then I'll come back to the second. In the first one what we're generally seeing is that, the market for fuel cells is getting deferred. The main reason for that is availability of hydrogen. As we've said, we've had tests in place both in Europe and in North America. And those pilots have been significantly affected by availability of hydrogen at the ports. As you probably know, there's a huge amount of investment going on in making hydrogen available. It's just not there yet. So equipment builders are also reacting to that, including us. And our programs are being deferred to when we feel hydrogen is going to be more available in these specific target applications. So that's been the cause of some of the movement. We still strongly believe that hydrogen is the right solution for these high productivity large vehicles that consume a huge amount of energy. We've also had electric trucks running around with battery only and we are better understanding the challenges they pose. So, I think the long-term hypothesis is still correct. Just timing is slipping. Now you talked about some of the incentive programs, or investment program the government has announced. And I think they will make a difference. We have some pilot programs with select customers for late 2026 and 2027. So majority of those programs will have deliveries in 2027 -- I would say in late 2026 and throughout 2027. So that gives you a sense for how this -- the application of technology is getting pushed back. Now, we are working with for instance with the Department of Energy to figure out programs we can implement to accelerate. And those have been announced and we've -- Nuvera has won some of those programs which will help with some of the cost as we work through this delayed implementation of hydrogen. The other thing we've done in light of that is adjusted -- we've taken nobody out of our product development group. Technology we believe we have leading technology and we are continuing to invest in that. But we've optimized the operational group in light of the volume that's expected in 2025 and 2026. And that's what some of the reduction in workforce was about.
Ted Jackson: I appreciate it. I have two more questions if that's okay. Make it simpler. The next topic is Bolzoni. And I want to kind of circle in with regards to kind of the cost and the acquisition because I was -- honestly I thought that the kind of on the expense side the SG&A side was a little higher than I expected. And if I read through the guidance correctly then the fourth quarter would be a little higher than expected but I also didn't realize that you've made an acquisition. So within the context of kind of the expense structure for Bolzoni in the near term is it -- is that indeed what's happening is that you've bought this business and you've layered in a modest amount of expenses on it? And if that's the case how do I think about that for 2025?
Rajiv Prasad: Yeah. This is just a quarter issue, Ted. It was in our other cost of sales. Some of it's related to that but also we've had -- the logistic disruptions has impacted all the businesses with the kind of Red Sea issues. Now that's starting to normalize, but the businesses hadn't made provision for the increased logistic costs they've been seeing. So whether that comes to fruition or not we don't know, because since the peak holiday shopping shipments have been completed in I would say, mid-October we've seen a decline in shipping rates. So maybe that won't happen. But for 2025, I would use what we've done what the SG&A has been in Bolzoni in 2024 with just inflation applied to it.
Ted Jackson: Okay. And then my last is -- actually it's kind of two, I lied. On CapEx I know you took a big cut to CapEx relative to plans at the beginning of the year. Would I expect to see that those investments happen in 2025, where we would see -- I can't remember what it was that you had said like $80-some-odd million in 2025, as you bring those plans to bear particularly I guess, given what you're talking about doing with regards to some of the efficiency stuff and the rationalization for lack of a better term of your manufacturing? And then, the other thing was, did you say and again something I might have missed what you expected for your effective tax rate for all of 2024? Or did you talk about the fourth quarter at all on that front? I think you talked about something like that and I was taking notes and I missed it.
Rajiv Prasad: Okay. Well, I'll take the first part, and I'll ask Scott to take the second part. On the first part the -- what was that?
Christina Kmetko: The CapEx.
Rajiv Prasad: CapEx yeah. I was thinking about tax for a moment. But the CapEx, I think it's because we really pushed hard on what we talked about the optimization of our operational footprint. There's been a large team working on that -- that program for a while. And as that program has used up a lot of the resources that would typically be available for other operational capital programs those have started to run a little late. We've prioritized this above pretty much everything else. And so we will see some of that happen in 2025 that was planned for 2024. But I also think there's going to be some other lower priority capital programs that will be pushed out of 2025 into 2026, so that we can execute this large program that we mentioned in our release. So I think it's not to do with funding issues, it's to do with resource available to execute. And some of these programs are fairly complex to pull-up. So we need the right people working on it and that's more of the issue Ted.
Scott Minder: Yeah. Ted, I'll take the tax one. So we increased our full year estimated tax rate from 31% to 32%. That caused a true-up adjustment in Q3, which made the Q3 rate a little bit higher at 37%. So for the full year we expect 32%. We haven't given guidance on 2025 yet at this point. We'll do that in our Q4 call coming up.
Ted Jackson: Okay. Thanks for the patience of taken all that for me.
Rajiv Prasad: No.
Scott Minder: Yeah. No problem.
Operator: Your next question comes from Kirk Ludtke with Imperial Capital. Please go ahead.
Kirk Ludtke: Hello Rajiv, Scott, Al, Christina. I appreciate the call. I thought maybe we could just talk about your core North American market for a second in terms of overall demand. And when you talk to your customers, are you hearing any themes from them? Are they waiting for rates to come down? Are there any catalysts on the horizon that come up in your conversations?
Rajiv Prasad: Yeah. I think the way to think about what's going on in North America is really look at this cycle we've been going through. So I would say from 2021 to where we are today and probably moving out to the end of 2025. So what happened between 2021 and 2023, midway through 2023 is the industry booked let's say almost 200,000 more trucks than normal. Now don't forget those trucks were not delivered in that time frame because as I said we are now delivering trucks that we booked in I would say mostly early 2023. Now what's happening is customers are getting delivered those trucks. And many of them saw that demand just post COVID of things, all right, of material handling needs as people bought things while they were at home. That subsided. Now people are traveling. They're spending money in other ways than just buying goods that you have to transport in logistics. So what's happened is that's created a bit of a -- this need to digest the trucks that our customers are getting; now starting to receive. And so they're working through that. We think that this dip will probably start to even out by the second half of 2025. And then the market will normalize to let's say 2018-2019 kind of levels. And then we expect that to go up to if you adjust that for GDP plus a little bit that we normally perform above GDP. So that's what we think is happening. We're pretty sure that's what's going on and as we talk to customers that's what they're trying to do. So there is the edge taken off the demand, because I think that demand was a bubble. But the base demand is still good and strong and consumers as you can see are active in the marketplace. So, yeah, we don't expect anything in the economy to be driving this. This is the industry.
Kirk Ludtke: Got it. I appreciate that. Thank you. And you mentioned your market share, you're gaining market share. Are you gaining market share in North America? And do you think that you'll continue to gain share?
Rajiv Prasad: That's our plan. Yeah, I mean a lot of our strategies are built around gaining share and we have and we will. Now quarter three in particular was a very strong quarter in 2023 for us. And so quarter four -- quarter two -- I mean the other thing -- yeah so the quarter three 2024 versus last year looks okay, but we expect going forward that we will grow share.
Kirk Ludtke: Got it. Thank you. And shifting topics. You mentioned an adverse shift in mix on the parts side. And can you elaborate on that a bit? And is this the new normal? Or do you expect this mix to persist or revert to where it was?
Rajiv Prasad: Yes, there's some short-term mix things going on and there's some longer-term mix things that we need to think about. The short immediate term is kind of the need -- it's just the mix between parts that are used for service and parts that are used for repair. And it just -- it's just a cycle that we sold and the margin profile on those are different. And so we sold more of the service rather than the repair-related parts that will even itself out over time. The more long-term change is the electrification. As you move from internal combustion engine to electric trucks the parts profile is different. The number of parts used in service is different. It's less for electric trucks. So that change is going on. Our response to that is that we are adding more electric-oriented solutions into our offering and we'll be talking about that more in the future. But immediately we've got a really intense focus on lithium-ion batteries and kind of incorporating that into our both unit sales and parts infrastructure.
Kirk Ludtke: Got it. That’s very helpful. What percentage of the installed base is electric do you think?
Rajiv Prasad: For us let's say just take North America for example it's I would say 40-60. But if you think about it from a value point of view in terms of the value of the truck and the value of the parts it's probably more closer to 50-50.
Kirk Ludtke: Got it. I appreciate it. Thank you very much. That’s it from me. End of Q&A
Operator: Ladies and gentlemen, there are no further questions at this time. Please proceed.
Christina Kmetko: Okay. With that we'll conclude our Q&A session. Thank you so much for participating. A replay of our call will be available later this morning. We'll also post a transcript on the website when it becomes available. If you have any questions please reach out to me. My information is in the press release. Hope you enjoy the rest of your day and I'll turn it back to Pamela to conclude the call.
Operator: Thank you. This does conclude your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day everyone.